Noel Quinn: Good morning in London, it's great to see everybody in the room with us today. Thank you for coming. And good afternoon to everyone watching and listening in Hong Kong and elsewhere. Ewen will take you through our Q4 numbers very shortly. But I'd like to begin with a summary of how we delivered against our strategic plan in 2021. As you know, we refreshed our core purpose as an organization a year ago. Opening up a world of opportunity draws heavily on HSBC's past. But it also encapsulates what we need to focus on to succeed now and in the future. By keeping our purpose and the values that underpin it firmly in mind, we've delivered good progress against our four strategic pillars. Focus on our strengths, digitize at scale, energized for growth, and transitions in net zero. And this has contributed to a strong financial performance, which was supported by the global economic recovery. Starting now with a few highlights, I'm pleased with the progress we've made on both our transformation and growth agendas. And I want to pay tribute to the whole HSBC team for the job they've done in 2021. Underlying growth in key revenue streams came through strongly in Q4 to offset the drag effects of declining rates, resulting in reported revenue growth of 2% in the quarter, coupled with tailwinds from higher interest rates. This provides strong revenue momentum for the future. We're also well on our way through a number of announced exits and acquisitions that materially alter our capital allocation to areas where we have distinctive competitive advantage. Reported profits before tax for the full-year were up 115% to $18.9 billion. All regions were profitable, Asia led the way with $12.2 billion of reported profits, including $1.1 billion from India, up $90 million on the year. There was also strong contributions of $2.2 billion of adjusted profits from our non-ringfence bank operations in the U.K., and Europe, and $900 million of adjusted profits from the U.S. business. I was also pleased there were strong fee income growth across all businesses which overall was above pre-COVID levels plus international account opening and commercial banking was up 13% and trade balances were up 23% overall and today stand higher than pre-COVID levels. We increase spending on technology and performance related pay. But I'm pleased we kept cost stable, able to do so due to the savings from our transformation programs, which are ahead of plan. If rates follow the path currently implied by the market, we now expect to reach at least 10% ROTE in 2023. That's a year earlier than we had previously signaled. We took a charge on expected credit losses in Q4 primarily due to changing market conditions in the Mainland China commercial real estate sector. Ewen will go into this in more detail. But I'm pleased to say we have seen some positive movements in market sentiments since the year-end. Finally, we've announced full-year dividends of $0.25 per share up 67% as well as our intention to initiate an incremental share buyback of up to $1 billion on top of the existing buyback of up to $2 billion announced earlier in the year. This slide sets out how this translates into progress against our ambitions. It shows good progress in key areas. Revenue growth for the year as a whole was impacted by the low interest rate environment, particularly in Asia, where we experienced lower HIBOR rates in 2021. But we turn the corner in Q4, as net interest income grew year-on-year for the first time since the pandemic began and all our global businesses grew fee income in 2021 by high single digits.  Costs were down slightly year-on-year and we expect 2022 adjusted costs to be stable on that position. ROTE was 8.3%, our capital ratio remained strong at 15.8% and we expect to move into our CET1 target range of 14% to 14.5% in 2022. And we made over $104 billion of RWA saves across the group over the last two years, against our original three year target of $110 billion. Given this progress, we now expect to achieve $120 billion of cumulative RWA saves by the end of this year. The next slides go through key metrics on our four strategic pillars. The first pillar is focus on our strengths, which is about capitalizing on the unique advantages we have as an institution. Wealth and Personal Banking is one of those areas, particularly in Asia. Our investment in people, technology and capabilities yielded strong returns. We had a strong year in net new invested assets, especially in Asia, greatly helped by a strong flow of referrals from our wholesale banking clients. This is an inherent strategic advantage that we're investing in. Overall wealth balances grew to $1.7 trillion and within that, funds under management increased by 5% supported by more than 30 new asset management products in Asia. Asia wealth revenue also grew by 10%, mainly due to the improvement in equity markets, and customer sentiment while we also saw strong mortgage growth in Hong Kong, and the U.K. Finally on this slide, I was pleased that the value of new insurance business in Asia in Q4 was higher than the same period in both 2019 and 2018. This is the cumulative effect of a significant investment program and turnaround in that business over the last three to four years. It is also particularly encouraging given the border between Hong Kong and Mainland China remains closed. Slide 5 focuses on Wholesale Banking. We saw strong fee income growth across our wholesale franchises, even as we exited clients and shrunk our capital base in global banking markets. This offset lower trading income when compared to the exceptionally strong performance we saw in 2020. International connectivity remains key to our strategy. As I said earlier, trade balances were up 23% overall, and above pre-COVID levels. GLCM balances were up $54 billion, or 8% year-on-year to over $750 billion and collaboration revenues are also worth 8% with referrals between commercial banking, and global banking and markets up 12%. I've been pleased with the way the global banking and markets has performed for the past two years, even while we've been repositioning that business. Adjusted RWAs were down 10% as we continue to transfer resources, mainly from Europe, into Asia and the Middle East. Slide 6 shows how we've exited non-strategic businesses in the West while accelerating customer acquisition in the East. I'm pleased by the progress we've made in transforming the U.S. and Continental Europe business but also by their good profit performance in 2021. The transactions for the sale of the U.S. retail business have closed on schedule in the last two weeks. Meanwhile, we expect to close the sale of our French retail business in the second half of 2023. We also accelerated the development of our Asia wealth capabilities through the acquisition of AXA Singapore which was completed earlier this month on schedule. The acquisition of L&T Investment Management in India, which we hope to complete towards the end of this year, and regulatory approval to take full ownership of our HSBC Life joint venture in China, all on top of the organic build out of our Pinnacle business in Mainland China, which continues ahead of schedule. Slide 7 looks at our second pillar, digitize at scale, which is about making it easier for our customers to bank with us and making our processes more efficient. We've continued to invest heavily in technology, while managing costs, spending around $6 billion in 2021, which is equivalent to around 19% of our adjusted operating expenses, which was up one percentage point on the prior-year. Our ambition is to keep increasing technology spending, so more than 21% of our operating expenses by 2025. This investment provides us with significant operating leverage, as we grow the business in the future. It is also enabling us to deploy solutions at scale globally, and to further leverage agile working and Cloud technology. While our usage of both Agile and Cloud increased in 2021. We have ambitions to drive further growth in the years to come. Digital penetration levels have also increased with today 84% of trade transactions globally initiated through digital channels, a 58% increase in the share of digital payments made through HSBCnet Mobile app by wholesale customers, and 43% of retail customers are now mobile active. Although this figure was up five percentage points on the prior-year, I still see a significant opportunity to grow it much further. Our third strategic pillar is about creating a dynamic, inclusive culture where people want to work and they feel empowered. In our most recent staff survey, our employee engagement score was 72%, unchanged on 2020 or encouragingly five percentage points up on 2019 and four percentage points above the Financial Services benchmark. We're aiming to build a more diverse business. We were pleased to exceed our target of 30% of women in leadership roles globally in 2020 and we set ourselves a new target of 35% by 2025. We've also made progress on ethnicity representation, especially for black colleagues. But we still have a way to go to get to where we want to be and need to be on both of these measures. And we're helping our colleagues to develop future ready skills over 115,000 colleagues use the new Degreed learning platform last year, with the average time spent on training for full-time employee up 16% despite the pressures of COVID. An increase in share of this time was spent on areas like digital data, and sustainability, all of which are essential for our future. I also want to add that another important part of our culture is that we remain cost conscious. I'm absolutely determined we won't go back to the days when rising interest rates loosened our grip on costs. Slide 9 looks at the transition plans in net zero, our fourth pillar, our ambition is to provide and facilitate between $750 billion and $1 trillion of sustainable financing and investment by 2030. I truly believe this will enable us to play a leading role in the transition and we've made a very strong start. Since the beginning of 2020, we've provided and facilitated $127 billion of sustainable financing and investment to our clients. We are committed to working with our clients to develop valid science based transition plans to understand sector-by-sector client-by-client, how we move to net zero by 2050. These transition plans and the targets within them must be predicated on the science relevant to the individual sectors. We will use them as a basis for further engagement and decision-making, including how we drive change within our portfolio construct. As part of this process, we have today disclosed interim targets for on balance sheet financed emissions in the oil and gas and power and utility sectors. In the year ahead, we plan to set interim targets for financed emissions across a range of other sectors. And we will work on our climate transition plan, which will be published in 2023. And will bring together in one place, how we embed our net zero targets into our strategy, our processes, our policies, and our governance informed by bottom up transition plans. I'm pleased by the progress we've made reducing greenhouse gas emissions from our own operations. A combination of less travel and sustainable energy deals enable us to have our scope 1 and scope 2 emissions compared to 2019. As the world normalizes, we have to be clear that we do not expect a route to net zero to be linear. But we do believe that many of these changes are embedded for future years. Overall, there's more to do. But I'm pleased with the progress we've made so far. I'll now hand over to Ewen for the Q4 numbers.
Ewen Stevenson: Thanks, Noel. Good morning or afternoon all and Noel and I are great to see so many of you in the room today with us. We had another good quarter of reported pre-tax profits of $2.7 billion up 92% on last year's fourth quarter. Adjusted revenues were modestly up on last year's fourth quarter. This reinforces what I said at the third quarter, we think we're now passed the trough and revenues. ECLs were $450 million net charge in the quarter. Operating expenses were down $800 million on last year's fourth quarter due to a lower bank levy and continuing good cost discipline. Our return on tangible equity for 2021 was 8.3%. Our core Tier 1 ratio remained strong at 15.8%. Tangible net asset value per share of $7.88 was up $0.07 on the third quarter. We've announced full-year 2021 dividends of $0.25 per share, that's up 67% on the prior year. We also intend to initiate an incremental buyback of up to $1 billion. This will begin after the buyback of up to $2 billion is concluded in April. Turning to Slide 11, as a headline we're pleased with the lending and fee income growth that we're now seeing. Lending balances were up 1% overall on the third quarter. Underlying this was 5% growth for our personal and commercial banking businesses combined equivalent to $38 billion in total, which was partially offset by planned reductions in global banking and markets. There were strong lending growth in wealth and personal banking up $27 billion or 6% on the fourth quarter of last year, reflecting another strong mortgage performance in the U.K. and Hong Kong. Lending was up a $11 billion in commercial banking, mainly in trade and term lending in Asia. Fee income increased by 5% versus the fourth quarter of 2020. Within this commercial banking increased fee income by 15%, reflecting both good volume growth and repositioning in some areas towards fee income. On the next slide, despite the impact of lower rates, we've been seeing a recovery in revenues for commercial banking for a few quarters now. And this continued in the fourth quarter. Global banking and markets had another good quarter driven primarily by good performance in FX and capital markets and advisory. And we saw our first quarter of year-on-year revenue growth in personal banking since the onset of COVID-19. And in wealth strong new business growth was offset by adverse insurance market impacts. Tonight for the current quarter we expect some weakness in our Asian wealth revenues. As highlighted previously, our revenues will be impacted by the adoption of IFRS 17 in 2023. We continue to expect an initial downward adjustment to our insurance profits of around two-thirds. As we said at the third quarter, we are planning for an around $3 billion adjustment to insurances tangible equity, and we intend to provide further detail on IFRS 17 in the third quarter of this year. On Slide 13, net interest income was $6.8 billion, up 3% against the third quarter on a reported basis. This was mainly driven by higher yields on customer loans, as well as underlying asset growth. On rates, the net interest margin was 119 basis points unchanged on the third quarter with higher asset yields offset by changes in the asset mix. Based on the current interest rate expectations for 2022, we expect net interest income to now grow materially. With further material growth in 2023. We think we've given you the building blocks to model this including modeling the sensitivity as rate curve shift. Turning to Slide 14, and recognizing the higher gearing we have to a better rate environment. I wanted to say a few words and I disclosed interest rate sensitivity analysis. As a reminder, our high interest rate sensitivity is driven by our balance sheet structure, namely a deposit surplus of around $700 billion and the short tenure of our lending portfolios and trade franchise. For illustration purposes, our tables now assume a simplified pass-through rate for all interest bearing deposits. In reality, for the first few rate rises, we'll assume -- we assume we'll see a lower pass-through rate rising towards or above 50% of rates continue to rise. On the next slide, we reported a net charge of $450 million of ECLs in the quarter. This included Stage 2 charges primarily relating to commercial real estate in Mainland China, a substantial part of which is booked in Hong Kong. As Noel says, there has been some positive sentiment since the year-end. We expect this to begin to help ease the current tight liquidity for the sector. Stage 3 charges remained low and the quarter also included COVID-19 related releases were continuing to hold around $600 million of COVID-19 uplift to Stage 1 and 2 ECL reserves equivalent to about 15% of the initial reserve. The overall quality of our loan book remains good, Stage 3 loans as a percentage of total loans are stable at around 1.8%. We expect ECLs to normalize towards 30 basis points of average loans in 2022. With upside from potential COVID-19 releases in the first half of 2022 and potential risk from continued uncertainty in Mainland China commercial real estate. Turning to Slide 16. Fourth quarter adjusted operating costs excluding the bank levy were modestly down on the same period last year. 2021 costs were broadly stable on 2020. As per our third quarter guidance, the fourth quarter performance was driven by continued good cost control together with a lower performance related pay accrual in the quarter relative to the fourth quarter last year. The bank levy came in at $116 million. This was lower than expected due to an offsetting credit for bank levy fees paid in prior years. We expect the bank levy to normalize at around $300 million per year. From this year onwards. We made a further $600 million of cost program savings during the fourth quarter with an associated cost to achieve of around $600 million. Turning to the next slide. In the first two years of our three year cost program, we've achieved savings of $3.3 billion with cumulative costs to achieve spin to date of $3.6 billion. We now expect to see exceed our overall target of $5 billion to $5.5 billion of cost savings, with at least a further $2 billion of cost savings in 2022. And at least a further $500 million of savings in 2023. We expect to fully utilize our $7 billion cost to achieve budget by the end of 2022. So please model a final cost to achieve spend of $3.4 billion this year. Despite inflationary pressures Noel and I are committed to continuing to deliver tight cost control. For 2022, we aim to keep adjusted costs, again broadly stable. And in 2023, we intend to manage adjusted cost growth to be within a zero to 2% range. A few things to note for 2023 costs and beyond. Firstly, on recent M&A activity, we expect the net impact to be broadly neutral on costs in 2023, and modestly positive in 2024, following the completion of the sale of our French retail bank in the second half of 2023. Secondly, there will be a reduction in operating costs as a result of the shift to IFRS 17, but also an associated reduction in revenues. And thirdly, from 2023 onwards we intend to move away from reported adjusted numbers, with any further restructuring costs absorbed above the line, and any large distorting items disclosed on the notable items. Turning to capital on Slide 18. Our core Tier 1 ratio was 15.8%, down 10 basis points on the third quarter. Reported risk-weighted assets were down $1 billion on the third quarter. Risk-weighted assets saves and improving asset quality offsetting risk-weighted asset growth from lending and regulatory change. Our cumulative risk-weighted assets sales are now $104 billion against the three year target of $110 billion by the end of 2022. Given this progress, we now have an ambition to achieve $120 billion of cumulative risk-weighted assets sales by this year-end. On the next slide, we're expecting to be within our core Tier 1 ratio of 14% to 14.5% during this year. As shown on this table, we expect around a 125 basis points of total impact during 2022. From notable items including regulatory change, and M&A, a large part of which will be in the first quarter. It will also include the planned sale of our French retail bank in the third quarter. Once within our 14% to 14.5% range, we intend to actively manage to be within this range. But please recognize that due to normal capital volatility you could see as above or below this range in some quarters. In addition and unlined with PRA regulatory guidance, the dividend will accrue at 55% of reported profits for each quarter of 2022. This is not a signal of future dividend intentions. And finally, for clarity on our two buyback programs, the $2 billion buyback program that is currently underway, has to complete by 20th of April, under its six month regulatory authorization. Post the AGM in late April, we intend to then launch the billion dollar buyback program that we announced today. So to conclude in the context of a continue to challenge macro environment, these were a good set of fourth quarter and full-year 2021 results. Heading into this year with strong core momentum underpinned by increasingly robust growth and continued tight cost discipline. If the current rates outlook has maintained, we're on track to deliver a return on tangible equity of at least 10% in 2023. That's a year earlier than our expectations at the third quarter. And finally and importantly, healthy capital distributions have now been restored. With that, Martin, can we please open up for questions in the room and on the line and Richards coming up to host Q&A. Thank you.
Operator: Thank you, Mr. Stevenson. [Operator Instructions]. The first few questions will be taken in the room. So I will now hand over to Mr. Richard O'Connor.
Richard O'Connor: Yes, good morning everybody. I'll take the first few from the room, as the operator said, if you just give your name and institution, please over to Raul in the front row to start with, if you wait for the mic, please.
Raul Sinha: Hi, good morning. It's Raul Sinha from JPMorgan. Thanks for doing this in person. Couple of questions for me to start. Firstly, on NIM, wondering if you could unpack the moving parts across the big parts of the franchise. So if you look at HBAP NIM, it's broadly stable, if you look at the U.K. NIM is down quarter-on-quarter. What is driving this sort of weakness in the U.K. NIM and how do you think mortgage pricing will impact that going forward? I think we can do a numbers on HBAP NIM going forward. And then the second question is just coming back to the cost discussion perhaps moving on. I think in the -- I was quite interested in your comments about historical slippage and costs when rates have gone up with HSBC. And I guess one of the things that is different this time is inflation is obviously moving up. So I was wondering if you could talk a little bit about how you're managing inflation, what are you seeing in terms of inflation across the bank and how you're managing that over the medium term within your cost plans? Thank you.
Noel Quinn: Do you want to go first?
Ewen Stevenson: Yes, so look on NIM and I'm sure there'll be a few questions on NIM, in terms of what we're seeing look in the U.K., I think what you're predominantly seeing is that sort of mix shift towards mortgages at the moment impacting NIM together with continued very healthy liquidity levels. We do think over time, what we'll see is a recovery in some of the other loan books, particularly unsecured, so you should begin to see both an improving shift in the asset mix together with significant benefits coming through from rate rises. As you can see, in our interest rate sensitivity tables, Sterling is our most sensitive currency. Yes, in Hong Kong, I don't think there's anything particular to sort of call out in terms of asset mix again, I think the main thing, yes, the main sort of debate, I think in Hong Kong looking out is obviously Hong Kong Dollar is pegged to U.S. Dollar, just how quickly if we are seeing and when we do see a rising U.S. rate environment, how quickly that will translate into a rising HIBOR. I think if you go back over time, typically there's been about a three month lag period. I think given Omicron at the moment that that might elongate out a bit, but we would certainly think yes, in the coming months, we'll start to see a very material recovery in HIBOR coming as well. On costs, Noel, do you want to?
Noel Quinn: Yes, on costs, we've managed to contain the costs slightly down in 2021, relative to 2020, why because frankly, we took out $3.3 billion of transformation costs in the first two years of the transformation program that has allowed us to fund increased investment in Turkey has allowed us to fund an increase in the variable pay pool '21 relative to '20 of 31%. And if you look at the VP pool, it's up 31% on '20, is up 5% on 2019. So our VP pool in 2021 still inflated over '19. But we managed to keep the cost flat. Now, Ewen said, we are also planning a further $2 billion of cost takeout this year as part of that transformation program and another $0.5 billion in the year after. And that we believe gives us the cushion unnecessary to recycle that cost transformation into investment in tech and into investment in people whilst keeping the overall cost base flat for 2022 and within a range of 0 to 2% thereafter in 2023. And we've got good line of sight on that cost takeout. So I think it's manageable and achievable. What we really want is the revenue momentum, we have at an underlying level complemented by the interest rate curve that's coming our way to actually flow through into returns not to flow through into cost. And we're determined to try and enhance the returns of the business, which is why we're pulling forward the return target by a year of 10%. But we want to go beyond that. And I don't want the cost to take away from that achievement.
Ewen Stevenson: So the other thing that we've had during COVID is obviously the benefit in certain activity that's just fundamentally changed as a result of COVID. So yes, if you go back two years, we were spending $400 million on travel and entertainment, that was placed in $60 million last year, we expect it to recover. But we've said, we're not going to allow our travel costs to return to see it's capped at 50% of what it was pre-COVID, we've announced that we're going to get out of 40% of our non-branch base commercial real estate. Yes, we've done about half of that so far. But again, I think COVID and the fact that we are going to adopt hybrid working on a permanent basis opens up a significant opportunity. I'm now hot desking and I know that CRO has gone and stolen a whole bunch of printers out of the building to make it harder for us to print. But for those of you who hot desk, you certainly don't want any paper at the end of the day, because then you have to store it. So I think, yes, and then you've got this big shift in digital engagement from our customer base has gone on pre-COVID, particularly in some cohorts of the customer base, like the elderly, who previously were not that digitally engaged. And again, I think that will open up further cost opportunities for us. And at some of those costs opportunities, I think that have helped offset the inflationary pressure that we wouldn't have seen previously.
Noel Quinn: Let me give you an example on that if I can, just Richard, if you allow me. Trade transformation, we embarked upon a digitization program of our trade platform with the biggest trade bank in the world. As you know, we fundamentally re-platform that business over the past four years on some modern technology. Consequence of that, trade revenue for the full-year last year was up 9%, trade balances up over 23%. If you look at Q4-on-Q4, trade revenue was up around about 20%. So there's momentum in the trade in the revenue. But what it's also done has increased our NPS scores, we now got a positive NPS in trade of 69. We didn't have that four years ago. If you also look at what it has done for costs, we've got a 26% reduction in our baseline headcounts that existed in 2017, when we started that program, so if you're looking at it from whatever angle, facilitating revenue growth, because we're more competitive, we got new product capability, better customer service as evidence in the NPS, and a lower cost to serve as evidenced in the headcount in trade. That's why we're putting more money into the digitization agenda. And that's the impact it can have on the business. And I think that's why we can recycle some of those cost savings into meeting inflation needs of the remaining employee base. Richard?
Richard O'Connor: Joe next, and then Omar afterwards. Joe in the middle.
Joseph Dickerson: Hi, thanks. It's Joe Dickerson from Jefferies. Just a quick question on the buyback. So is this something you want to make a recurring feature of your capital return? Because if rates do what you think they'll do to get to your 10% return on tangible equity, you'll generate a lot of capital. So is this something that you want to do on a quarterly basis, a billion a quarter, what's the thought process around creating regular in some regular cadence to buybacks?
Noel Quinn: Yes, so well, sort of broaden the question out, I think, Joe, I mean our primary tool of distributions is dividends. And we've sort of been clear that we're going to pay within a 40% to 55% payout ratio this year, we were right at the very bottom end of that range at a 40% payout ratio. I think that reflected our view on the sustainability of particularly the ECL line where we had significant right backs this year. So I think going forward, you should expect certainly for '22, our expectation is that will be higher up in that payout range than last year. In terms of buybacks, we pointed out today that if you were to sort of effectively, if you want normalize our core Tier 1 today for items that we know that are coming, such as regulatory change and M&A, the 15.8 is probably closer to 14.5 today for that 125 basis points of adjustments we pointed out. Yes, so we do yes and then you've got for this year, I think yet the natural growth in the business where we said we're targeting mid-single digit loan growth. We've pointed out that we still think we were $14 billion or more to do with RWA saves. We've got the dividend. We've got the incremental billion dollar buyback that we announced today. We do still expect there to be some inorganic activity. We are -- yes they will be similar to what we've done small bolt-on deals. I think consensus for this year sitting about $2 billion of buybacks, I think we're reasonably comfortable with that consensus at the moment. But we do intend overall to actively manage our capital base, as we said. But for this year, I think we're sort of comfortable with where our consensus is currently set. But you shouldn't view this buyback program as some sort of in perpetuity buyback program. We'll use it to manage surplus capital. Thank you.
Richard O'Connor: Omar and then Tom afterwards.
Omar Keenan: Good morning, Omar Keenan at Credit Suisse. So thank you for the presentation today. I've got two questions, please. So one on rate sensitivity and then just a second one, on the outlook for acquisitions and divestments. Firstly on rate sensitivity, thank you for the disclosure on the deposit beta. I was wondering if you could help us with how much discretion HSBC has over its deposit pricing in places like Hong Kong, I guess, with the idea being that the surplus deposit position is quite good. And the benefit from rate hikes might be much more than the guidance implies earlier on than that later on. And then secondly on the outlook for acquisitions and divestments. So you've completed the three bolt-on acquisitions that you said you would do. And you've also completed or at least signed the exit from the French and U.S. retail business. Could you comment on how the footprint now looks like? And I guess just bearing in mind there's a bit of movement in Mexico with what Citigroup is doing and whether there's more potential for bolt-ons whether we could see more inorganic activity at HSBC? Thank you.
Noel Quinn: Ewen, do you want to take rate first?
Ewen Stevenson: Yes, look on rate sensitivity, I think yes as we said, we would certainly assume that for the first few rate rises, the deposit beta is going to be less than 50%. I mean, you can it's a matter of public record, what intentions are in the U.K., we've announced a series of deposit increases as of the first of March. Yes, they would imply a deposit beta well below 50% for the rate rises that we've seen. Yes, Hong Kong, we are the market leader in the market. So we would expect there to be some increase in deposit rates. But again, I think for the first 50 or so rate rises that deposit betas, we would expect to be well below 50%. Yes, so just to explain that we did change the table this quarter. Previously, we hadn't sort of average 50% deposit beta, but it varied by market. So what we see for example is that Hong Kong sensitivity has come down in their table relative to Q3. The reason for that is, because we've effectively increased the deposit beta up to 50%, we just thought that was easier for you, because it gave a consistent basis for you to then make your own assumptions.
Noel Quinn: Just one other point to know and I'm sure you've got it in your analysis. And that is, I was talking to somebody earlier about my liking of cash. And that it's positive, particularly when you bring it in via our operating accounts. And a lot of the cash deposits we bring in not paid for deposits through savings accounts, it is operating accounts through GLCM, through personal banking, through wealth management. And therefore, what we're able to see is a higher ability to hold on to interest rate rises, because we're so focused on bringing in operating accounts as the pure pay for deposits. And that's particularly true in our Asia franchise, where we've drawn in a lot of balances via GLCM business.
Omar Keenan: Something like cash in a digital sense, no.
Noel Quinn: Omar, there's one attribute I've carried with me for 34 years and from Willie Purves, which is get the cash in first and then lend it. So old fashioned.
Omar Keenan: The question on M&A, do you want to?
Noel Quinn: M&A, yes, I'll take that. Listen, we were pleased with the progress we've made on that. We're pleased with the disposal decisions on the U.S. and on France. I think Michael has done an excellent job and his team in the U.S. on executing on time, on schedule, and driving out the cost as a consequence of that. Really congratulate him on that. We're on track for completing a more complex disposal program on the French retail business. Hence it will complete in 2023, but we knew that to be the case, but plans are progressing well on that. On the Bolton's going well, we're still looking. We're observing other opportunities in the market, particularly in Asia, particularly associated with wealth, and for wealth read insurance, asset management, and broader wealth management capability. As and when any of those become a reality, if they do become a reality, we'll let you know at that point in time, but we still active looking at opportunities on the acquisition side. The stress, it's bolt-on. And to maybe turn to your specific question on Mexico, no, we're not looking to acquire in Mexico. We have a good business in Mexico. It produced returns on tangible equity last year of around about 13%. I think, within that the wealth business and retail business in Mexico has higher inherent returns. We've got an organic growth model there. We've previously guided the market and all of you there. Our M&A activity would be primarily focused on Asia, and on wealth. Excuse me, for all those online who just heard me sneeze, very sorry about that. And it's not COVID, honestly. So I think we've got a very clear focus on where we want the bolt-on to be to be focused on. Thank you.
Richard O'Connor: Tom. And then I'll take one from the line.
Tom Rayner: Yes, sir. Thank you very much. It's Tom Rayner, from Numis. Could I just have two please. Just sticking with the rate sensitivity initially? The thing I'm most interested in is how quickly will the sensitivity sort of fade away once you go beyond 100 basis points move, because I guess you're going to see pass-through rates increasing as rates rise. Also, I imagine there'll be some asset spread issues, such as in the Hong Kong mortgage market with sort of caps versus prime et cetera. So I just wonder if you could give us a bit more color on how things look when you go beyond the 100? And I have a second question on costs. And if you want it now, or the guidance zero to 2% from 2023. I'm just wondering, what's going to sort of determine where about you land in that range, whether you're running a sort of jaws [ph] target, if you like. So if revenues stronger, you'll be at the upper end. And if revenue disappoints, you'll be looking to hold it down at the bottom. Is that that you're thinking there? Thank you.
Ewen Stevenson: Yes, so on rate sensitivity above 100 basis points. That's not a question we often get asked. But we're pleased, we're getting asked it. The -- I mean, if you look, I mean, I guess going back to where we were in 2019. The NIM at the time was 158 basis points, it fell to a 120 last year. We lost I thought about $7 billion of net interest income to book the average interest earning assets bigger than where it was back in '19. So you're right in some markets like Hong Kong, their relationship with the prime rate, which does start to factor heavily in once rates rise by more than 100 basis points. So if I bet you, I would look at the trajectory of what happened from sort of '19 through '21. And then it's not quite analogous, because stealing rates are going to be much higher this time. But try and draw some comparisons from that, as you do your modeling. On costs, we're certainly not targeting a jaws number. It's hard to target jaws when you've got rising interest rates, and you don't want the benefit of those rising interest rates to get reflected into rising costs. So I think it just highlights a decent degree of uncertainty as where we are on inflation. We are -- when you go out into 2023. We've got, the impact of M&A that we've highlighted that also be the one-off for my for a '17 which will take cost down that's not in that guidance. But you do have to model that. We know that we've got at least $0.5 billion of cost savings coming through from the cost programs that we're running. We're going to have to -- we're getting rid of the cost to achieve program in 2022. So it's definitely finishing at the end of this year. So any restructuring costs will be absorbed above the line. I would say in addition to that cost guidance because we're comparing sort of what we call adjusted-to-adjusted. Typically at the moment, we're having about $0.5 billion of other costs that would be in SIG items being sort of large litigation costs. And when we sell businesses and stuff, the losses on sale of that. So in addition to that adjusted cost guidance, typically there's about $0.5 billion also of other items, which will be on top of that.
Noel Quinn: And just for it Tom, it's a good question, but just put it into context. So it's hard to predict how inflation will move forward over the next year or two. But there's likely to be inflation there, somewhere between no cost increases on a like-for-like basis, and $600 million is the 2% relative to if you're in, if you roll the clock back and you rolled in the interest rates effect that we lost $7 billion. So the 0% to 2% is relatively insensitive, whether it's 0, 1 or 2 relative to what could be, $6 billion or $7 billion of incremental revenue by that time. And I think what we're trying to signal very clearly, is we're not looking to have an explosion in cost just because interest rates are going to come through and to contain it in the 0% to 2% range is a reasonable, reasonably flat cost base relative to what could be happening on revenue.
Ewen Stevenson: And if you look at consensus, that has existed a couple of weeks ago. Yes, there was about a $6 billion increase in or 12% increase in revenues from '21 through '23. And we're saying we're going to keep cost growth to 2% over that period. And I think '23 consensus as it was a couple of weeks ago is understated, because it hasn't fully reflected the impact of rate rises.
Tom Rayner: So the right rises in that consensus a few weeks ago, is inconsistent with today's curve?
Ewen Stevenson: Yes, if you just take those numbers, you've got very, very material jaws coming through.
Tom Rayner: Thank you.
Richard O'Connor: Okay, we'll open the lines to hopefully Jason Napier of UBS.
Jason Napier: Good morning. Thank you for taking my questions. The first one is, is around that revenue growth number that Noel you just shared. I just focused on net interest income. Your annualized in the fourth quarter at $27 billion, 5% loan growth gets you to $28.5 billion and half of the rate gearing that you've given today on a beta that's too high with C&I over $30 billion in 2022. And the same math's would get you at minimum $35 billion or $36 billion in 2023? Ewen in the past you've helped us with the blunt expectations around NII. I'm sure you don't want the market to get too carried away. But it appears to me that on the simple learn growth and rate gearing numbers you provided the consensus should be substantially higher $2 billion or $3 billion for this year and maybe three for next year? That's the first one. The second question is around the shape of the group from a capital perspective. Most of the RWA savings work has been done. And yet the TNAV share of Asia is roughly stable at about 22% of the group. And I just wondered whether the restructuring of balance sheets and the moving of capital around the group shouldn't lead to faster RWA growth in the years ahead, or was it really more about taking capital out of low return destinations? So should we be expecting faster growth innovation. How the debt capital has been freed up from its past uses? Thank you.
Noel Quinn: I'll take the second question. Do you want to do the first one.
Ewen Stevenson: The thought on -- I hate forecasting been interesting gambling. So but anyway, I'll do my best to talk about it. The -- I did think, Jason, we think and I don't know why and your mass, but you're a bit choppy on 2022. Yes, we think that consensus, which was at we had, yes, we think consensus for 2022, which we had $28.7 billion was understated. But not by the magnitude that you're talking about. And consensus that was published average consensus was $31.9 billion for '23. We think that is more meaningfully understated. And I don't know whether Jason how you factor that and things like the continued IWA rundown program. Because if you look at what's basically implied with our risk-weighted asset growth this year. You have -- we're talking about mid-single digits, we're saying 3% of that is coming from regulatory change. So this is sort of net call it two percentage points of net increase, which is underlying loan growth, yet less the IWA's we're running off. But so modestly understated for '22 and more materially understated for '23.
Noel Quinn: On your second point to shape the group. I'd probably draw your attention to two slides in the deck. The slide 28 and slide 30. Slide 28 is a new piece of information I don't think we've previously disclosed, but what it shows for wholesale banking is the interconnectivity of the group. So if you look at the percentage of client revenue in house wholesale banking, that has an international connectivity. Those clients bank with us in multiple geographies, that percentage is 77%. Now, what you see in the report and accounts is where we book it in the legal entity. So you see legal entity book in in Asia, and you'll see legal entity book in in Europe and in U.S. But so much of what we book in Europe and in the U.S. is connected to our business in Asia and the Middle East. And what we try to give you in that is in wholesale banking terms, essentially 70% 77% of our revenue from clients in wholesale banking has some form of cross border connectivity. But you'll see that revenue booked in multiple legal entities. So I think your analysis on how much capital is Asia related relative to non-Asia is a bit distorted when you look at a legal entity basis. And if you then go to slide 30, what you'll see from GB&M is 40% of the revenue, booked in the east, on our legal entity balance sheets in the east emerges from western clients. So 40% of Greg and George's revenue, essentially gets booked in the east, but originates from clients, we bank in Europe, the U.K., the U.S. in the west. And that, again, if you look at it purely on a legal entity basis, you'll see European and U.S. balance sheets and say why are they so capital heavy? Is because they're a feeder of business into our operations in Asia and the Middle East.
Ewen Stevenson: Yes, Jason, I think in addition to what Noel just been through, I mean, if he go back to what we announced a couple of years ago about this, yes, 100 odd billion of IWA reduction in the west and redeployment in the east. What we've seen over the last couple of years, I think, is a very successful execution of the first part of that. I -- that we're now in addition, we're now in excess of what we started out with. But the redeployment in the east has been slow down as a result of COVID. So we do think that that redeployment rate will now pick up as the Asian economies progressively come out of COVID.
Richard O'Connor: We're taking on the question from the line of hopefully, Ben Tom from RBC. Over to you Ben.
Ben Tom: Good morning, and thank you both for taking my questions, two please. Firstly, your flow, mortgage market share in the U.K. picks up significant in Q4. Do you intend to keep being aggressive in terms of pricing and growth in the U.K.? And then secondly, you took a top up provisions for Chinese commercial real estate in the quarter? Can you just give us a flavor on what you're seeing on the ground in respect of Chinese CRE and is it still the indirect exposure that keeps you awake at night? Thank you.
Noel Quinn: Ewen do you want to take the mortgage market?
Ewen Stevenson: Yes. So on our flow market share in the quarter. I think it was 9.3. Stop share is 7.5. I think as you all know, yes, we still feel structurally underweight in U.K. mortgages. Our share of current accounts by value I think is ticked up to just under 15% now. So we still feel structurally underweight mortgages. I don't think we describe our pricing as aggressive. We don't necessarily aspire to be in the top three of the best buy tables. But we do think we can continue to take market share above our stock share. I think a notable feature of what we saw in the market, which you'll all be familiar with is, this was the first quarter for quite a while I think where our front book margins were below back book margins and have continued to drop a bit in Q1 as well. We've also seen a significant increase in risk-weighted assets for U.K. mortgages from the beginning of this year. We still think we're earning returns comfortably above the cost of capital at this point. But conditions are competitive at the moment in the U.K. mortgage market.
Noel Quinn: Yes, and on China real estate, listen, there was no doubt during Q4, the level of market uncertainty increased. And the level of contagion risk on that whole sector of commercial real estate in China increased relative to Q2 or Q3. And therefore, we thought it wise and prudent to model in additional Stage 1 and Stage 2 provisions to reflect that uncertainty, that refinancing risk and that liquidity risk. We've seen the market conditions ease a bit at the start of 2022. We think that is likely to have a benefit on the risk position on commercial real estate in China. Time will tell, it's still too early to tell how it'll all play out. It's affected pretty much every private CRE client in China. As Ewen said, we have a mixture of POEs and SOEs in that sector around about 30%, 70%, 30% SOE, 70% or so POEs. Time will tell as to whether that sector has more losses come in or not. But we thought it wise to model in some additional provisions based on that level of uncertainty. We think sorry, the one thing I'll also say, we still stand by the fact, we have good quality clients that we know for a long time operating in Tier 1 and Tier 2 cities with good properties. But the sector as a whole has a level of uncertainty over it, that's affecting all of them, Ewen sorry.
Ewen Stevenson: Yes, all of that thinking that Noel has just went through is behind our guidance when we've talked about approaching 30 basis points of ECL provisions for this year, which yes I would note is probably more conservative guidance than is in current consensus.
Noel Quinn: Yes, the uncertainty of the CREs within that 30 basis points.
Richard O'Connor: Okay, over to that side, Aman?
Aman Rakkar: Yes, good morning. It's Aman Rakkar from Barclays. I would have two please, one back on rate sensitivity. One thing that's always kind of I found remarkable for a number of quarters now is how low your USD rate sensitivity is, I think even on the updated deposit pass through assumption, relative to the $460 billion of deposits, I think that you can imply from Slide 27, why is that rate sensitivity so low out of the U.S.? Does it imply a lot of hedging? Is this something you can kind of help us understand there? And second, would be on aspirations for wealth management, note the cautious guidance in relation to Q1. I guess I'm specifically thinking about the border between Hong Kong and China reopening. Is there any way you could help us quantify what the potential benefit could be, if we were to rediscover pre-COVID level of activity for that business? I mean, I know it looks like the onshore Hong Kong insurance franchises has done really well last year. So maybe there's a bit of easing there. But anything you can help us put some numbers to, that'd be really helpful. Thank you.
Ewen Stevenson: Yes, so in the U.S. dollar, there's effectively an accounting mismatch, which is driving that lack of sensitivity, in the part of the funding base in the U.S. is used to fund the Trading Book. So, in a rising rate environment, the benefit from an accounting, the accounting benefit on the revenue side goes to trading income. So you don't get that normal rate sensitivity that you would expect. I think on the border reopening, if you go back to 2019, I think about 40% of our new business sales on insurance were to Mainland Chinese. So yes, keep the current profile of the domestic business in Hong Kong and assume going back to 2019 levels or higher as that border reopens.
Aman Rakkar: So just on that first rate sensitivity point then is that additional rate sensitivity that goes through non-interest income are you saying?
Ewen Stevenson: Yes, that would be a conclusion of that. It would be low hundreds of millions, I think.
Aman Rakkar: Okay, thank you.
Noel Quinn: Well, we covered it a bit in the slide. But I just do want to re-emphasize because it's such an important plank of our strategy Asia Wealth, just draw out some stats. Net new invested assets in our wealth business was up 21% year-on-year last year. That's despite a bit of a slowdown in Q4, but for the full-year, it was up 21%. Trade wealth balances was up 5%, the invested assets of wealth was up 7%. So the net new money was up 21%. But the overall balance sheet of invested assets was up 7%. Asset Management was up 5% year-on-year as full-year, full-year and wealth revenues were up 10%. So that's with a relatively subdued sort of cross border activity flow. That's just driving the domestic markets, what we're also investing in is China. So what we're trying to do is, we've got a strong business that we've invested in, in Hong Kong, we're now investing in China through the joint venture, taking full ownership of the joint venture of our insurance and wealth business there, and organically invested in Pinnacle 3,000 people over the next few years. So we want to drive stronger domestic growth in China, stronger domestic growth in Hong Kong, and then connect them through the likes of Wealth Connect and Stock Connect. And that's where I think we got the icing on the cake, you can say when the border opens up. So I think there's still strong underlying growth for the medium term. And although we're signaling a softening in Q1, there's a strong track record of the Hong Kong economy bouncing back. And I think that's what will happen at some point later this year.
Aman Rakkar: Thank you.
Richard O'Connor: Go ahead, and then we pass behind. Okay, go ahead.
Guy Stebbings: Good morning, thanks. It's Guy Stebbings from BNP Paribas Exane. First question was back on income sort of building the last question. And thanks for the comments already on net interesting income and sort of reflecting on where consensus, I guess for other operating income, it sounds like it's going to be a tough start to 2022. And you've refrained from giving guidance for this year on revenues versus the medium term double-digit guidance. Just wondering if your sense is potentially a bit of a gift back to the NI upside this year from some of those trends on that, I appreciate it's very difficult to judge in this environment, but any color there and would you see that very much as a short-term issue. And indeed, there could be potential catch-up on that line as the environment normalizes. So any distortion, there's really isolated to 2022. I mean, indeed, your medium term guidance to be 35% of groups suggest a rapid pace of growth to come through at some point in the future. And then the second question was just on costs, and thanks for calling out the restructurings going to be above the line from 2023. I think that's a very helpful development. It also goes against what we're seeing a number of banks in terms of talking about permanently higher restructuring type costs than maybe we've expected in the past. And in that context, 0% to 2% cost growth over two years looks like a very good target to hit, if you do indeed managed to reach that. Just wondering what gives you confidence, you can do that if you know there are still some investment type actions beyond inflation environment. I mean, is it just a sense of the amount of run rate cost saves coming through the business give you that significant comfort, you can deliver that? Thank you.
Noel Quinn: Yes, on non-interest income, I guess I haven't made the same comments versus consensus because that should be a hint. But look in Q1, just we've had a couple of things going on. Firstly, we've had weak markets in Asia, which is impacting both the insurance the market impact, and also impacting equity brokerage, we've now got about half of the branch network temporarily closed in Hong Kong, at the direction of HKMA as a result of COVID-19 restrictions. Q1 is typically best quarter of selling wealth product, and a lot of that is sold through the branch network. So yes, if we've looked at what's happened in every other market with Omicron, it's been a three month thing, and then the economies have reopened again. So yes, we do think it is short dated in nature. Yes, and we're sort of not trying to reguide on '23 at this point. So yes, I do think there could be some disappointment in wealth in Q1. But by the time you get back into Q2 with Hong Kong reopening, we should see a very rapid recovery. On sorry what's the second question.
Guy Stebbings: Costs and why are we confident on 0% to 2%?
Ewen Stevenson: Yes, so. But we've done, yes, if you go back to 2018, the back end of the year that I joined, yes, we had a -- we grew costs at about 5.5% that year. We did exactly what we're trying not to do now, which is we were trying to inflate the cost base in line with rising rates. Since then, we've done an enormous amount of work to sort of embed good cost discipline across the organization in a way that didn't exist three years ago. We've got a very well drilled cost program at the moment. I would say, just the investment that we're making into various parts of the bank in digitalization and automation can drive out huge potential cost savings in some areas. If I look at what I'm trying to do in finance, at the moment, we've got a big move to take all of our reporting into a single data set on the cloud and run all of our reporting engines off the cloud. We think that can reduce operating costs and finance by 25% to 30%, over the next three to four years. And yes, it's the same analogy that Noel used in the front office with trade, the trade transformation that we've done on the last few years and so. I think, we've got confidence as we look at the combination of those investment programs going on. In addition, we are continuing to effectively, if you were to cut our cost structure on a geographic basis, what you see as the mature markets are declining. So, Europe, U.K., U.S., Canada, which is allowing us to fund the growth that we want to put on in the Middle East, Asia or in Mexico. So, it's a complex mix of costs, actions going on across the organization. But we do think that based on the work that we've done today, there's pretty good bottom up grounding for the cost targets. And we obviously, don't put them out lightly, because Noel and I know that you'll remind us if we miss them.
Noel Quinn: So I'd say we got the bottom up analysis. We got the benefit of a committee three year transformation program. Two years into it, we delivered what we said, we'll continue that in year three this year. So it's a combination of bottom up. And frankly, determination, I want that revenue benefit to go into the return, to go into the P&L not just to be spent on incremental costs. And I'm trying to get a much more stable cost base of the organization over time and not have it cyclical, high rates, high costs, low rates, low costs. I'd much rather have a much more efficient machine that is constantly reengineering itself. And technology is playing a big role in it. Hence, we spent more than $6 billion on tech last year. And if you take the guidance, we said that was 19% of our operating cost and we want to take -- we're willing to take it north of 21% of operating costs. If you roll that forward over a period of time over through, two or three years, that will take $6 billion up to $7 billion. So implicit in that incremental IT investment is a reengineering of our fundamental processes. We saw the impact of digitization on trade. We've seen the same thing in the payments arena. We've got a similar program running on our wealth business reengineering. Our front-line internet banking capability, build it once rolling globally get scale globally. So that's what we're working on. Richard there was one more in the…
Richard O'Connor: Yes, we got time for two more. One behind you. And then…
Noel Quinn: [Indiscernible] someone here in the white shirt as well. They both had their hands up a lot.
Richard O'Connor: And then Martin. Well, we'll see if we can fit you in. But we'll have to wrap up.
Noel Quinn: Okay.
Unidentified Analyst: Hi, it's [indiscernible] from KBW. So thanks for the presentation. Just two questions, one on income. So what actually loan growth really. So you've delivered 1% loan growth in '21. So sort of what gives you the confidence that you're going to be able to do mid-single digits in '22 given Hong Kong and China still very much sticking to zero COVID policies. So sort of putting a lid on growth there. And sort of related to that if you are thinking about mid-single digit loan growth and in a rising rate environment, why you're only targeting mid-single digit revenue growth, again, sort of building on a previous question. So that's on revenue side and then on costs. You've talked a lot about digitization and investment and technology. Roughly what is the split between maintenance spend and innovation spend?
Noel Quinn: I'll do the last question on innovation and maintenance. You take the loan growth.
Ewen Stevenson: Loan growth, I think 2021 was heavily distorted by a couple of things. Firstly, the impact of COVID in the first half of the year, which I think had a significant dampening effect on loan growth in the first half. I think what we've seen coming through now, we've had it in commercial for some time, just continued quarter-on-quarter loan growth. I think in retail, we're seeing very, very good growth in what were just both in the U.K. and Hong Kong. Despite what you refer to in Hong Kong, underlying loan growth there and the mortgage sector continues to be very robust. But yes, the other big offset, which is not, is the rundown that we've seen in wholesale and global banking markets in particular, which is dampen their growth rate. But if you look at Q4, the Q4 growth rate, I think it doesn't take much to get that growth rate up on an annualized basis, the mid-single digits.
Noel Quinn: Growth rate in CMB. Q4-to-Q4 in Asia loans was 9%. If you take trade, Q4-to-Q4, growth in the balance sheet in CMB, I think it was 29%. So what you saw was a slow start in the first half of the year. And then a pickup in the second half of the year, trade grew faster, earlier, than term lending. And term lending started to pick up in the second half of the year. As economies came out of COVID, they first went to reactivate the supply chain, and then they went to reactivate some of the term lending. I still think term lending is quite muted at the moment. I don't think there's a huge amount of capital investment taking place. But we're starting to see some early signs of that come through in Q4. I think we just have to wait and see how economic recovery continues in the first half of this year. And then your other question on how much of the investment in technology is innovation versus maintenance. So it's term innovation can mean many different things to many different people. So I don't use that term necessarily for IT investment, what I'm looking at is how much of that investment is fundamentally reengineering the business, as opposed to doing care and maintenance on today's systems for regulatory reasons. And I think more and more of our technologies going into the re-engineering space and less into the care and maintenance. We don't give a breakdown on that. But I got a significant proportion of our investment to go over 50% is going into the reengineering activities of the bank, not just keeping the lights on and maintaining the existing systems. We're investing in reengineering and take trade as an example. We fundamentally re-platform the whole software base for trade. So we turning off the old and turned on the new, turning on the new, and that has multiple benefits. It lows the ongoing running costs of technology. It lows the ongoing running costs of the bank, it provides new product capability, better customer experience, better operational control. We're doing that in many other areas as well.
Richard O'Connor: I'm afraid we run out of time, but members of the team will be available outside for a cup of tea or coffee after to answer your question sorry about the two or three. We didn't have time to get on. But over to Noel…
Noel Quinn: It depends on both of you, because I know you had your hands over.
Richard O'Connor: And over to Noel for concluding remarks, please.
Noel Quinn: Listen, thank you very much for attending today and for all of your interest in your questions. To sum up, I'm pleased with our 2021 performance. Particularly pleased with the return to revenue growth in Q4, which I think bodes well for 2022. We've got good cost control and we determined to maintain it. Based on current interest rate assumptions, we would expect a row to have at least 10% in 2023 and a year earlier than previously planned. We've made good progress executing against our key areas of our strategy and our transformation. And I'm pleased that we're also able to provide our shareholders with healthy capital returns this year. Richard and the team are available to you if you have any questions. Where in the meantime, please stay safe and have a good day, evening, whatever you are. Thank you very much.